Unknown Executive: Welcome to the 2012 First Quarter Conference Call for Genesis Energy. Genesis has 3 business segments. The Pipeline Transportation Division is engaged in the pipeline transportation of crude oil and carbon dioxide. The Refinery Services Division primarily processes sour gas streams to remove sulfur at refining operations. The Supply and Logistics Division is engaged in the transportation, blending, storage and supply of energy products, including crude oil, refined products and CO2. Genesis operations are primarily located in Texas, Louisiana, Arkansas, Mississippi, Alabama, Florida and the Gulf of Mexico.
 During this conference call, management may be making forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The law provides Safe Harbor protection to encourage companies to provide forward-looking information. Genesis intends to avail itself of those Safe Harbor provisions and directs you to its most recently filed and future filings with the Securities and Exchange Commission. We also encourage you to visit our website at genesisenergy.com, where a copy of the press release we issued today is located. The press release also presents a reconciliation of non-GAAP financial measures to the most comparable GAAP financial measures. 
 At this time, I would like introduce Grant Sims, CEO of Genesis Energy LP. Mr. Sims will be joined by Steve Nathanson, President and COO; Bob Deere, Chief Financial Officer; and Karen Pape, Chief Accounting Officer. 
Grant Sims: Thank you, and welcome to everyone. This quarter, we are pleased to report another record of available cash of almost $40 million. This is an increase of approximately 25% from the amount generated a year ago. Our ability to identify the right strategic opportunities, successfully integrate our acquisitions and capitalize on increasing demand in our businesses has led to the growth in distributable cash. 
 Earlier this year, we closed on the acquisition of interests in several Gulf of Mexico crude oil pipelines from Marathon. This pipeline has contributed throughput volumes of over 250,000 barrels a day to our system and distributable cash of $7.7 million for the quarter. Our strong performance will allow us to make a distribution in mid-May of $0.45 per unit, a 10.4% increase over the year earlier quarter. This represents the 27th consecutive quarter in which we have increased the distribution to our unitholders and the 22nd quarter during such period the distribution has been increased by at least 10% over the year-earlier quarter. At this point, I'd like to turn it over to Steve Nathanson, our President and Chief Operating Officer. 
Steven Nathanson: Thank you, Grant. Over the last 12 months, we completed several acquisitions and growth initiatives that have benefited our operating results and available cash. We have increased the service capabilities of our Black Oil fleet, increased our crude oil and refined product service capabilities in shale play areas through the expansion of our trucking capacity, the acquisition of, or access to, refining and pipeline assets in the Niobrara region in Wyoming and the Eagle Ford Shale play in Texas. And, as mentioned, the recently completed acquisition of Marathon's interest in several Gulf of Mexico pipelines complement our existing and planned infrastructure in the Gulf. 
 We did experience lower volumes in our Refinery Service operations in the quarter primarily as a result of the timing of recognizing sales to our South American customers. We continue to see strong demand from NaHS across our customer base and expect our sales for all of 2012 to be consistent with last year. As we discussed in our last earnings call, the copper mining industry continues to expand. In fact, just last week, Freeport-McMoran Copper & Gold publicly disclosed that their growth projects are designed to increase their annual copper production by 25% over the next 3 to 4 years. We are positioning ourselves to take advantage of the impact of this growth on demand for NaHS and anticipate our sales to increase in 2013 and beyond, consistent with the worldwide expansion of mining activities. With that, I'll turn it back to Grant. 
Grant Sims: Thanks, Steve. We're extremely pleased with the contributions from our past initiatives and acquisitions. These initiatives have been accretive to our results and will continue to benefit us as we identify additional ways to create synergies with our existing core assets. We're also very excited about the new projects that we have identified to capitalize on our growing service capabilities with our refinery customers and on opportunities in Texas, in the Rockies, in the deepwater Gulf of Mexico and elsewhere across our footprint. 
 Before I turn it over to Bob to discuss in greater detail the reported results, I'd like to recognize the contribution of our employees. Because of their dedication to safe, responsible and efficient operations, we continue to work together to be able to deliver increasing long-term value for all of our unitholders. 
Robert Deere: Thank you, Grant. I will discuss the key differences in our first quarter results for 2012 as compared to the first quarter of 2011. My discussion will focus on our segment margin as fluctuations in our revenues resulting from changes in the commodity price levels of crude oil, petroleum products or chemicals like caustic soda did not have a corresponding impact on our earnings or available cash flow. I will also discuss our results in terms of our 3 reporting segments: Pipeline Transportation services, Refinery Services and Supply and Logistics. 
 For the 2012 quarter, we increased available cash to $39.6 million from $31.9 million in the 2011 quarter. Significant improvement in results from our Pipeline Transportation and Supply and Logistics segments through a combination of increased volumes and the impact of our acquisitions since the second half of 2011 contributed to the record available cash at this quarter. Net income for the 2012 quarter was $19.6 million, or $0.27 per unit, as compared to net income of $7 million, or $0.11 per unit, for the 2011 quarter. 
 Turning to our operating segments. Results from our Pipeline Transportation segment improved over 40% to $25.3 million, representing a $7.7 million increase over the first quarter of 2011. Our segment margin from offshore crude oil pipelines increased $5.2 million during the 2012 quarter, reflecting the acquisition of interest in the Gulf of Mexico pipeline systems, Poseidon, Eugene Island and Odyssey. These systems added approximately 254,000 barrels per day as throughput and increased segment margin by $7.7 million. The increase was partially offset by the reduction in throughput volumes from CHOPS. The planned improvements for our producers in the fields connected to CHOPS, which began in the second quarter of last year, are still ongoing. As a result, our pro rata share of distributable cash from CHOPS decreased by $2.5 million from the prior year quarter. 
 From our onshore crude oil pipelines, tariffs increased $1.5 million during the 2012 quarter. This increase was a result of higher crude oil tariff rates that went into effect in July last year. 
 Finally, our sales of crude oil pipeline loss allowance volumes improved by $1.7 million due to overall higher crude oil prices from a year ago. 
 Refinery Services segment margin for the 2012 quarter decreased slightly to $17.2 million from $17.9 million. Our NaHS sales volumes declined 9% between the quarters primarily due to timing of recognizing sales to our customers in South America. At the end of the fourth quarter of 2011, we delivered volumes to these customers, which, from a timing standpoint, resulted in lower recognized sales volumes during the 2012 quarter. 
 Total segment revenues increased about 2% in the 2012 quarter as our average product prices increased. The average index price of caustic soda rose 30% to $571 per dry short ton. However, the pricing in our sales contracts for NaHS included adjustments for fluctuations in commodity benchmarks, freight, labor, energy costs and government indexes. The frequency at which these adjustments are applied varies by contract, geographic region and supply point. 
 Our raw material costs related to NaHS increased corresponding to the rise in the average index price for caustic soda, although operating efficiencies at several of our sour gas processing facilities, favorable management of the acquisition utilization of caustic soda in our operations and our logistics management helped offset these costs. Our economies of scale and logistics capabilities allow us to effectively market caustic soda to third parties, including many of the same parties who acquired NaHS from us. While caustic sales volumes declined during the first quarter of 2012, the impact of the decline was not significant to the overall segment margin. We also performed additional services for refiners including, among others, handling sulfidic, or spent, caustic. 
 Our Supply and Logistics segment margin increased 31% to $17.7 million in the 2012 quarter from $13.5 million in the 2011 quarter. The increase in segment margin resulted primarily from the acquisition of the Black Oil Barge Transportation assets in August of 2011 and significantly higher volumes. During the 2012 first quarter, we increased our volumes by 23% from the 2011 quarter through increased activities primarily related to the growth in our trucking capacity. Also, our growth initiatives in Texas and Wyoming in late 2011 began to positively impact our results during the quarter. 
 Interest costs, corporate general and administrative expenses, maintenance, capital expenditures and income taxes to be paid in cash affect available cash before reserves. Interest costs increased for the first quarter of 2012 as compared to the first quarter of 2011 by $1.9 million primarily as a result of increased borrowings to fund our internal growth projects and acquisitions. In March of this year, we repaid credit facility borrowings by issuing common units with net proceeds of approximately $170 million. Corporate cash, general and administrative expenses increased by $1.5 million primarily as a result of personnel additions and other costs to support the growth of the partnership. Additionally, increases in the market price of our common units affected expense related to our equity-based compensation plans. 
 In addition to the factors impacting available cash before reserves, net income included the effect of several noncash charges and credits. Depreciation and amortization expense totaled $15 million for the first quarter, an increase of $1.1 million between the quarterly periods, reflecting the increase in assets resulting from our acquisitions. Additionally, net income also includes the effects of unrealized gains or losses on derivative contracts that are not included in available cash until they are realized. In the 2012 quarter, unrealized gains totaled $2 million compared to an unrealized loss of $6.7 million in the 2011 quarter. Grant will now provide some concluding remarks to our prepared comments. 
Grant Sims: Thanks, Bob. We've increased the distribution to our unitholders for 27 consecutive quarters and the 22nd quarter during such period that we increased the distribution by at least 10% over the year earlier quarter. We look forward, hopefully, continuing to deliver solid growth in our financial results and keeping that streak intact. As always, we're proud of opportunity to work with a great group of folks, their immense contributions and their commitment to providing safe, responsible and efficient services to our customers. The ability our people to identify great opportunities and integrate those successfully has been and will be key to our continuing success. With that, I'll turn it back to the moderator for any questions. 
Operator: [Operator Instructions] And our first question comes from the line of Ron Londe with Wells Fargo. 
Ronald Londe: Your presentation answered all of my questions. Just as kind of a broader question, Grant. You kind of developed a partnership based on the oil side of the business, and it appears that you've stayed away from the natural gas side of the business. And that looks like it was a good decision. And I know you're an old gas pipeliner from way back. If gas pipeline assets' prices came down or gas assets came down, would you consider moving toward the natural gas side over the next few years? 
Grant Sims: Ron, I mean, I think we're always interested in doing what we feel that we can create the most long-term value for our unitholders. But what we've been focused on building an integrated business where we handle crude oil via a variety of transportation modes, trucks, railroad, pipelines, barges, et cetera, upstream of refineries. We have service capabilities inside the refinery fence, and we have logistical assets downstream of refineries. That's what we feel we're good at. That's our core competency. I think our view of the world has been that we're not sure where the oil is going to be produced, but we're pretty sure we're not going to build new refineries in the United States. And as a result of establishing the good service capabilities, our handling crude oil in the bottom end of refined product as well as providing services inside the fence, that's what we're good at, and I think that's where we plan on staying. 
Operator: Our next question comes from the line of TJ Schultz of RBC Capital Markets. 
TJ Schultz: Just first on the rail unloading facility at Walnut Hill, can you just give any update there on construction? And then any discussion with your existing refinery customer to maybe take more volumes from your system? 
Grant Sims: We would anticipate that we should be in what we would call Phase I operations in the third quarter and with full capabilities by the fourth quarter of this year. We are not only having discussions with one potential customer, but we're also having discussions with others that we think that with the interconnectivity with other pipelines in the area, that we could certainly see this develop into a regional play, which was behind our investment hypothesis to begin with. 
TJ Schultz: Okay, great. Just in the Tuscaloosa Marine. I know we continue to see producer interest there. Do you have any color on how this may be impacting your Port Hudson system and maybe any additional traction there that you're getting from producers? 
Grant Sims: We're certainly keeping an eye on the development activities of operators in the Tuscaloosa Marine Shale. We have, as you are aware, both the Port Hudson facility as well as Liberty, Mississippi capability to hopefully be in a position to render quality midstream services as the play develops. 
TJ Schultz: Okay. Just lastly, on the acquired Marathon interest, can you give a current rate on -- to the Tanga [indiscernible] line ? 
Grant Sims: I don't -- I'm not sure that we can give that, but I think if -- you probably want to go look at something that Anadarko may or may not have put out. But it did come on in March and continues to, I believe, to be reasonably within their public expectations. 
Operator: [Operator Instructions] Our next question comes from the line of Ethan Bellamy of Robert W. Baird. 
Ethan Bellamy: On CHOPS, can you give us some idea where volumes could go for the balance of the year and where volumes are right now? 
Grant Sims: The field that we've discussed in the past continues to be up. Another major field is -- went down in April for purposes of additional maintenance, so volumes on CHOPS are kind of lower than what has been public or what they averaged in the first quarter. Based upon our best estimate, that we anticipate both substantial fields to come back on either in the late second quarter or early part of the third quarter. 
Ethan Bellamy: Okay, that's helpful. With respect to the newly acquired pipeline, are those tracking in terms of your expectations at the time of the acquisition? 
Grant Sims: I think they're actually exceeding our expectations. I mean, as we publicly discussed, we had distributions out of the 2 joint ventures as well as the distributable cash pickup from the 100% owned, of approximately $7.7 million, for the quarter. Annualized at that run rate would indicate that the transaction multiple was between 6.5 and 7x. 
Ethan Bellamy: Any CapEx lumpiness that we should expect going forward for the balance of the year? 
Grant Sims: The major -- as we mentioned or put out, we bought the 7 barges from FMT during the first quarter that we had been leasing, if you will, or subleasing, so to speak, from the date of the original transaction, August 2011. That was, in order of magnitude, $30 million. We are also funding our share of the long lead time items, which is basically valve settings and pipe associated with our Southeast Keathley Canyon joint venture with Enterprise. So from a -- I don't know if that's responsive to lumpiness but we continue to -- as we pointed out in the press release and Bob alluded to, if we had $268 million worth of capital market transactions in the first quarter to give us plenty of liquidity and access under our existing revolver to fund all of our known projects. 
Ethan Bellamy: Okay. And just to be a little bit more specific, I'm thinking more in terms of lumpiness on the maintenance CapEx side than on the organic CapEx. 
Grant Sims: Oh, okay. I'm sorry. No, I don't think that there's necessarily any lumpiness in it. We try to -- obviously, we would never compromise safety or environmentally responsible or other responsive operations, so -- and we try to level that out over the different reporting periods. But we -- as we have said, given our current level of operations, the things that we don't, in essence, expense above the line, that maintenance capital should average or would anticipate to be in the $4 million to $5 million range on an annual basis. 
Operator: [Operator Instructions] And I see that there are no further questions at this time, I would like to turn the floor back over to management for any closing comments. 
Grant Sims: Okay, well, thank you very much, and we will talk to you in about 90 days, if not sooner. Thank you. 
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.